Operator: Good day, and welcome to the Star Group Fiscal 2021 First Quarter Results Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Chris Witty, Investor Relations Moderator. Please go ahead.
Chris Witty: Thank you, and good morning. With me on the call today are Jeff Woosnam, President and Chief Executive Officer; and Rich Ambury, Chief Financial Officer. I would now like to provide a brief safe harbor statement. This conference call may include forward-looking statements that represent the company's expectations and beliefs concerning future events that involve risks and uncertainties and may cause the company's actual performance to be materially different from the performance indicated or implied by such statements. All statements other than statements of historical facts included in this conference call are forward-looking statements, including those related to the impact of COVID-19 on the company. Although the company believes that the expectations reflected in such forward-looking statements are reasonable, we can give no assurance that such expectations will prove to have been correct. Important factors that could cause actual results to differ materially from the company's expectations are disclosed in this conference call, the company's annual report on Form 10-K for the fiscal year ended September 30, 2020, and the company's other filings with the SEC. All subsequent written and oral forward-looking statements attributable to the company or persons acting on its behalf are expressly qualified in their entirety by the cautionary statements. Unless otherwise required by law, the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise after the date of this conference call. I'd now like to turn the call over to Jeff Woosnam. Jeff?
Jeff Woosnam: Thanks, Chris, and good morning, everyone. We began our new fiscal year well positioned even in the face of a pandemic. While the impact of COVID-19 on the heating season has somewhat normalized, our results reflect a 13.5% warmer weather within our footprint, dampening demand for home heating oil and propane. However, we maintained our focus on cost discipline, improving operating efficiency and providing a high level of customer service. I'm pleased with our overall performance despite mild temperatures, including an increase in adjusted EBITDA of roughly $ 0.3 million to $45 million. Our weather hedge also worked as designed during the period. I continue to be encouraged that the strategy we've been executing over the past 2 years is making Star stronger and more resilient business, better prepared and able to adjust to varying weather conditions and other challenges, even including global pandemic. As I've mentioned many times before, our ongoing success continues to be a direct reflection of the dedication and professionalism of our employees, who have remained 100% committed to serving our customers in the face of some very unusual circumstances. I could not be more proud of the efforts of this team. I'm happy to report that we acquired 2 propane companies in late December that added in aggregate approximately 7 million gallons of product annually. Both our well-established growing businesses located within our current operating footprint that complement our existing propane offering. We continue to evaluate additional acquisition opportunities that support our strategic growth plan. During the quarter, we also repurchased 2.6 million common units as a part of our ongoing unit repurchase plan, which we believe further enhances long-term shareholder value. As we navigate through the remainder of fiscal 2021, I'm confident in our ability to continue providing the best possible customer experience and improving bottom line results. So with that, I'll turn the call over to Rich to provide additional comments on the quarter's results. Rich?
Rich Ambury: Thanks, Jeff, and good morning, everyone. For the quarter, our home heating oil and propane volume decreased by 18 million gallons or 16% to 90 million gallons as the additional volume provided from acquisitions was more than offset by the impact of warmer temperatures, net customer attrition and other factors. Temperatures were approximately 14% warmer than last year as well as 16% warmer than normal. Our product gross profit decreased by $17 million or 12% to $128 million as a $0.06 increase in home heating oil and propane per gallon margins was more than offset by the decline in home heating oil and propane volume. However, our delivery and branch expense decreased by $16 million or 17% to $81 million. The decline was due to a $3 million or 10% reduction in direct delivery costs due to the lower volume. Lower insurance expense was $1.6 million, bad debt declined by $1.5 million, and there were other reductions in operating expenses totaling $4 million. Please note that our operating costs were also reduced by $7 million due to the impact of our weather hedging program. As of December 31, 2020, we recorded a benefit or a credit of $4 million under our weather hedge versus a charge or an expense in the prior year. The final credit, if any for fiscal 2021 will be lower or higher depending on the accumulation of actual heating degree days from January 1 through March 31, 2021. Net income decreased by $10 million to $38 million largely due to the after-tax impact of an $11 million favorable change in the fair value of derivative instruments. Adjusted EBITDA increased by $0.3 million to $45 million. The impact of higher home heating oil and propane per gallon margins, lower operating expenses, the favorable change in the impact from the company's weather hedges and an improvement in net service and installation profitability more than offset the impact of a decrease in home heating oil and propane volumes sold. And with that, I'd like to turn the conversation back over to Jeff.
Jeff Woosnam: Thanks, Rich. At this time, we're pleased to address any questions you may have. Cole, could you please open the phone lines for questions?
Operator: [Operator Instructions] And our first question today will come from Michael Prouting with 10-K Capital.
Michael Prouting: Congrats on a good quarter and a challenging weather environment.
JeffWoosnam: Thanks.
RichAmbury : Thanks, Mike.
Michael Prouting: Just a couple of questions. Firstly, on the acquisition side. The 2 purchases you made in the quarter were reasonably sizable. So it's just interesting to see acquisition activity picking up, particularly or unusually during the winter season. So I'm just wondering, do you think this indicates overall a resumption of deal activity in the industry? And then the other question I had was on capital allocation. I noticed that you purchased a lot fewer shares in January. And I was just wondering, was that driven by price or trading volume or Rich, if you can just give a little insight into that. And what your expectations are in terms of additional share repurchases going forward?
Rich Ambury: Sure. I guess on the acquisition side, I think it might have been driven by folks thoughts on where income taxes and capital gain rates might go, frankly. And with regard to the share repurchase, we did have some private unit repurchases during the quarter, and we're buying back the same number of units that we can under our unit repurchase program that we're allowed that we -- that is the -- that's in conformity with the SEC program. So we're not intervening in that at all. And with that, maybe, Jeff, you might have a comment on the acquisition?
Jeff Woosnam : Yes. I think the acquisition pipeline is staying relatively steady. We’re obviously very excited about the 2 acquisitions we are able to complete by the end of the calendar year that we feel are 2 very high quality businesses. Those are transactions we’ve been working on for some time, and we continue to evaluate other opportunities that are in front of us now. So hopefully, it’s a sign of good things to come.
Operator: [Operator Instructions] Our next question will come from Tim Mullen with Laurelton Management.
TimMullen: Congrats to the quarter. Can you just remind me when you'll next update the share repurchase program in terms of units outstanding and any changes to it?
RichAmbury: Yes. We can only make the changes in a quiet period, and we still do have availability under the plant. It's in the 10-Q, but we have roughly 4.1 million units to continue to buy. So that should last us, I don't want to make a projection, that should last us for a while or until the next open window, which would be after we file the next 10-Q.
TimMullen: So the next quiet period then is following the next -- ?
Rich Ambury: Now we actually could increase it if we wanted to now, we could, but we got 4.1 million units outstanding to month. We could increase.
Operator: [Operator Instructions] And this will conclude our question-and-answer session. I'd like to turn the conference back over to Mr. Woosnam for any closing remarks.
Jeff Woosnam: Okay. Thank you for taking the time to join us today and your ongoing interest in Star Group. We look forward to sharing our 2021 Fiscal Second Quarter Results in April. Thanks, everybody.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines at this time.